Operator: Ladies and gentlemen, thank you for standing by, and welcome to the China Lodging Group 2013 Q4 earnings conference call. [Operator Instructions] I must advise you that this conference is being recorded today, Wednesday, the 12th of March, 2014. And I would now like to hand the conference over to your first speaker today, Ida Yu, IR Manager of China Lodging Group. Thank you and please go ahead.
Ida Yu: Thank you, operator. Hello everyone and welcome to our fourth quarter and full year of 2013 earnings conference call. Joining us today is Mr. Qi Ji, our Founder, Executive Chairman and CEO; Mr. Xie Yunhang, our COO; and Ms. Jenny Zhang, our CFO and CSO, who will elaborate on our company's development strategy and performance for the fourth quarter and full year 2013. Following their prepared remarks, management will be available to answer your questions. Before we continue, please note that the discussion today will include forward-looking statements made under the Safe Harbor provisions of the United States Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the views expressed today. A number of potential risks and uncertainties are outlined in our public filing with the SEC. China Lodging Group does not undertake any obligation to update any forward-looking statements except as required under applicable law. On the call today we will also mention adjusted financial measures during the discussion of our performance. Reconciliations of those measures to comparable GAAP information can be found in the press release that was distributed earlier today. As a reminder, this conference call is being recorded. The webcast of this conference call as well as supplementary slide presentation are available on the Investors section of China Lodging Group's website at ir.huazhu.com. Now I would like to turn the call over to Mr. Ji. Qi Ji, please.
Qi Ji: Good morning everyone. Thank you for joining our earnings conference for today. We are delighted to conclude 2013 with a strong set of results. Net revenues increased by 79%. Net income increased by 60%. Our same-hotel RevPAR grew by 1%. The same-hotel ADR increased by 3%. At the end of 2013 our number of hotel rooms in operation totaled 163,000, an increase of 35% from a year ago. With our focus on hotel product innovation and guest experience enhancement, Hua Zhu is positioned for success in the coming years. As shown on Page 3, first we work on continuous product innovation to meet [indiscernible] trends. Convenience Hotels [ph], our core brand in economic hotel segment has a new upgraded model this year, which will provide the customers with a new product experience. JI Hotel is a leader of midscale hotel segment in China. The limited service of midscale hotels is intended to meet upgraded consumption trends, especially in tier 1 and tier 2 cities. Other new brands, such as Joya, Manxin, Starway and Hi will continue to be developed to satisfy our customers and diversify the needs for business and leisure travelers. Second, on Page 4, we are a hotel group with an online team. This does not only mean that our customers can easily book a room by just one click, but also means that we pay attention to the ways of reaching customers, the smooth process of check in and check out, and are interactive with the customers before and after their stay. Hua Zhu is using online tours to fully support the whole offline experience. As shown on Page 5, we strive for active digital engagement with customers. Our loyalty program has more than 15 million members who contributed more than 80% of our room nights sold. Our mobile app with integrated features of booking, payment and room selection [indiscernible] undisputed leader in the hotel technology space. Digital bookings saw a solid and significant growth, driven by shift to mobile booking. In Q4, the room booking from our own digital channels increased by 33% year over year. In particular, the portion of our mobile booking more than doubled compared with a year ago. Room bookings through social media is available for our customers [indiscernible] which extends opportunities from word-of-mouth marketing. In addition to the digital engagement, we also placed emphasis on CRM, as shown on Page 6. A new CRM platform has been implemented in our whole system, which includes first to observe customers' behavior through big data analysis and customer labeling. Second, to understand the customer through textual analysis and exploration on their preference. And third, to interact with customers with their experience [indiscernible]. This will enhance the customer's overall experience at Hua Zhu Hotels by means of technology. With that, I will turn the call over to Yunhang, our COO, who will walk you through our Q4 and full-year operational highlights. Yunhang, please.
Yunhang Xie: [Interpreted] Thank you, Xi Qi. Good morning everyone. Thanks to our product innovation and continuous efforts to enhance guest experience, our loyalty program continues to grow robustly. At end of 2013, we had more than 15 million members, with young generation as our main targeted customer. About two-thirds of our customers are under 34 years old. They are the generation born in '80s and '90s, who are the major force in the consumer sectors. Now let me walk you through our operational highlights for Q4 and full year 2013. In Q4, as shown on Page 9, we opened 27 net new leased hotels and 58 net new manachised hotels. At the end of 2013, we had 1,425 hotels in operation, among which 40% were leased hotels, 59% were manachised hotels, and the remaining 1% were franchised Starway Hotels. At the same time, we are pleased to see that we still have a very strong pipeline that can further fuel our growth in 2014, with 63 leased hotels and 350 manachised hotels contracted for development. As shown on Page 10, in Q4 2013 branded occupancy was 90%, a decrease of 2 percentage points year over year, mainly due to soft and still recovering economy. ADR was RMB178, an increase of 1% year over year, mainly attributable to an increase in same-hotel ADR of 3%. With our hotel network expansion, the weight of our hotels in tier 1 cities are decreasing. And thus, the growth in blended ADR was lower than the growth in same-hotel ADR. As a result, in Q4, RevPAR was RMB160, a decrease of 1% year over year. As shown on Page 11, in 2013, blended occupancy was 91%, a decrease of 12 percentage points year over year, mainly due to soft and still recovering macro economy and the temporary decline in demand caused by ebb and flow in the second quarter of 2013. ADR was RMB180, an increase of 1% year over year, mainly attributable to an increase in same-hotel ADR of 3%. With our hotel network expansion, the weight of our hotels in tier 1 cities are decreasing and thus the growth in blended ADR was slower than the growth in same-hotel ADR. As a result, in 2013, RevPAR was RMB163, a decrease of 3% year over year. Page 12 provides a detailed view of the growth trend of our same-hotel RevPAR for the hotels in operation for at least 18 months. In Q4 2013, our same-hotel RevPAR increased by 1%, with 3% increase in ADR and a 2 percentage point decrease in occupancy, from 96% to 94%. For full year 2013, our same-hotel RevPAR increased by 1%, with 3% increase in ADR and 2 percentage points decrease in occupancy, from 98% to 96%. The increase in same-hotel ADR was driven by price increase to in-house yield. The decrease in same-hotel occupancy rate was mainly due to soft macro economy. In 2013 our midscale hotels recorded a 3.5% increase in same-hotel RevPAR. Driven by the upgrade consumption trend, our midscale hotels are well-accepted by an increasing number of consumers. With that, I will turn the call over to Jenny, our CFO and CSO, who will walk you through our Q4 and full year financial results. Jenny, please.
Jenny Zhang: Thanks, Yunhang. Hello everyone. For Q4 and full year 2013, we were delighted to see a strong growth of revenue and a significant improvement in profitability. Let me walk you through the details. As shown on Page 14, our Q4 net revenue increased 27% year over year. Leased hotels revenue grew 25% and the manachised and franchised hotels revenue grew 44% year over year. For the full year of 2013, our net revenues increased 29%, in line with the high end of our guidance. Our manachised and franchised hotels revenue reached 12% of our total revenue in 2013, compared with 10% in 2012. Page 15 shows the adjusted quarterly operating margin, which increased by 4.3 percentage points in Q4 of 2013 when compared with a year ago. Our pre-opening expenses as a percentage of net revenues saw a 3.5% decrease due to our enlarged revenue base and our shortened construction cycle. Our SG&A expenses as a percentage of net revenue increased by 1%, due to increased marketing costs for new brands, increased reservation from third-party agencies, and increased expenses for technology innovation. In addition, our other operating income as a percentage of net revenues increased by 1.4% in Q4 of 2013 compared with a year ago, which mainly includes government grants and a gain from government zoning. On a full year basis, as shown on Page 16, the adjusted operating margin increased by 2.4 percentage points in 2013. Our hotel cost as a percentage of net revenues increased by 0.2% as a result of cost inflation and increased investment in new midscale hotels which have a high cost ratio during ramp-up stage. A big part of the operating margin pressure was eased by the fast growth of our high-margin manachised revenue. Our pre-opening expenses as a percentage of net revenues decreased by 2.1 percentage points due to our enlarged revenue base and our shortened construction cycle. Our SG&A expenses as a percentage of net revenue decreased by 0.2%, mainly due to the benefits from economies of scale. In addition, other operating income as a percentage of net revenues increased by 0.5% in 2013 compared with 2012 due to increases in government grants and the gain from government zoning. Last but not least, move on to cash position, as shown on Page 17. Our cash balance closed at RMB401 million at the end of 2013. We had a powerful credit facility of RMB898 million. For the fourth quarter, we had a net cash inflow of RMB7 million, mainly due to extended revenue base and the improved profitability. We believe that our cash balance, our operating cash flow and our available credit facility will be sufficient to fund our expansion plan in the near future. Finally, as shown on Page 18, we expect to add 420 to 450 new hotels in 2014, with 50 to 60 leased hotels and 370 to 390 manachised hotels. Among these new hotels, 80% will be economy hotels and 20% will be midscale hotels. On the sales side, we expect to achieve net revenues in the range of RMB1.03 billion to RMB1.05 billion in the first quarter of 2014, representing a 19% to 21% year-over-year growth. Our revenue growth for the full year is expected to be 20% to 23%. With that, let me open the floor for questions.
Operator: [Operator Instructions] Our first question today comes from the line of Jamie Zhou of Macquarie. Please ask your question.
Jamie Zhou – Macquarie: Good morning, management. Congratulations on a strong set of results. I've got three questions here. First one is a housekeeping question. How many hotels were closed during the year excluding the Starway Hotels? And what is the average per-hotel rezoning grant you received from the government, on average? That's my first question.
Jenny Zhang: During 2013 we closed all together 29 franchised hotels of Starway. Beyond that, I think we have nine leased and manachised hotel closed due to government zoning, and the other issues we have with franchisees. And as to the gain from the zoning, that's not a significant number. The separate line of other operating income, mainly attributable to the government grants that we have received.
Jamie Zhou – Macquarie: Right. It seems like there is a big increase from FY12. And this is the first time you are separating this out of your G&A. What is the reason behind the jump in the government grants?
Jenny Zhang: The government grant is actually in line with our business scaling up. And the only reason we have separated is because as the number becomes bigger, it becomes meaningful to separate it. In the past, as it was more, we have made it part of the G&A expenses as a deduction.
Jamie Zhou – Macquarie: I see. Thank you. My second question is on your expansion plan for FY14. You mentioned that 80% of the 400 -- up to 450 hotels will be in economy and the rest, 20%, in midscale. What is the breakdown within the leased operated expansion? Is that -- can we expect more or less a similar breakdown or are we seeing higher percentage of midscale being in the leased operated expansion plan?
Jenny Zhang: The breakdown would be different among the two segments. In the midscale, out of the number of hotels we plan to open, about 20 to 25 are going to be leased hotels. And as for the economy hotels, the expectation is around 30 to 40 of these hotels.
Jamie Zhou – Macquarie: These are number of hotels, 20 to 25 leased operated midscale hotels.
Jenny Zhang: Yes.
Jamie Zhou – Macquarie: Okay. And what is your CapEx plan for FY14, breaking down into new hotels, existing hotel renovation and on the technology CRM front?
Jenny Zhang: Jamie, I'm not sure I get your question.
Jamie Zhou – Macquarie: Can you provide us with your CapEx outlook for FY14, breaking it down, if you can, into what the amount of money to spend on leased and operating hotel expansion, on renovation of existing hotels, and on technology, as mentioned earlier on the call?
Jenny Zhang: I see. On the CapEx side, in year 2013, about RMB1 billion to RMB1.1 billion was spent on new hotel expansion, plus the acquisitions. And close to RMB0.1 billion was spent on re-renovation of existing hotels. We expect the number to have some minor change in 2014. With the total spending, we are still expecting around RMB1.2 billion to RMB1.3 billion, and with both parts increased slightly.
Jamie Zhou – Macquarie: RMB1.2 billion to RMB1.3 billion in total of CapEx.
Jenny Zhang: Yes.
Jamie Zhou – Macquarie: Okay, thanks. My last question is on your cash position. Congratulations on a very strong year in cash management. Do you expect we stay in net cash position throughout FY14? And do you have any acquisition plans in the pipeline? And would you be looking at raising any new equity capital within the next 12 months? Thank you.
Jenny Zhang: Currently, without any consideration of major acquisitions, we expect cash flow to be more or less breakeven in 2014. So we have been looking at quite a few small-size acquisitions. So far we don't have any major ones in the pipeline. And with that, we don't have near-term plan to raise equity at this moment.
Jamie Zhou – Macquarie: Okay. Got you. Thank you very much, and congratulations again.
Jenny Zhang: You're welcome, Jamie. Thank you.
Operator: Our next question today comes from the line of Lin He of Morgan Stanley. Please ask your question.
Lin He – Morgan Stanley: Hi. Good morning, management. Thanks for taking my question. A couple of questions from me. Firstly is a question for Qi Ji. Hi, Qi Ji. I want to hear your thoughts on how the mobile booking -- increased popularity of mobile booking has changed the competitive advantage of us and the bargaining power of economy hotels versus the OTA channels. Has our bargaining power increased or decreased during this process? And second question is, can management talk about what is the recent trends you have seen, especially on the business travel front recently? Have we seen any meaningful pick-up in business travel? And lastly is the question on the purchase of long-term investments. I saw that in your cash flow statements. Can you please give us a little bit more color on that, what kind of long-term investments you have purchased? That is the 54 million number. Thank you.
Jenny Zhang: Sure, Lin. I will pass the first question to Mr. Ji and the second one to Mr. Xie and I will address the last one. So I'll ask Mr. Ji to address the first one.
Qi Ji: [Chinese language spoken]
Jenny Zhang: Okay. Let me translate. The mobile application has brought major change to consumer behavior. It's a fast-growing trend in China. And no matter for hotel groups or for the OTA, we must embrace this big shift in the market. As we talked to you two or three quarters ago, we put a lot of emphasis on our internet as the mobile application. As I mentioned earlier, we have achieved double growth in the Q4 of 2013 in terms of mobile application booking volume. And we expect to continue our investment in this area. I personally experienced the app of OTAs, airlines [ph] and of course our own. I have found that there are some edge to this using this app of service providers. For example, when I used the Singapore Airlines app, I can -- my personal preference is stored in their system, so I can easily pick up the seat and also pick my favorite food selection. However, in the OTA platform I wouldn't able to do that. And the app will continue to be our major channel going forward. And in terms of our competitiveness in this channel, we are going to provide our best price there. As to the relationship between our hotels and the OTAs, I think at the single hotel level, we continue to be partners and we cooperate. And as a group we have both the relationship of cooperation, but also in terms of channel, there are also certain levels of competition. As the app is a major shift in the market place, the OTAs are also investing into this channel. So we feel we need to continue our investment there to make the battlefield even and that we maintain our edge. It is important, you know, more than 90% of our booking are through our own channels. We expect that trend to continue. And then for Mr. Xie. [Chinese language spoken]
Yunhang Xie: [Chinese language spoken]
Jenny Zhang: We have seen a positive trend recently. It seems that business travel is picking up. That is the answer to the question about recent trend. So let me address the 50 million long-term investment item. This is part of the cash the company has decided to invest to form a joint venture with Mr. Ji and another partner, that the joint venture -- within the joint venture, Hua Zhu is going to take a little bit less than 20% of the share, and the other two parties will become the major shareholders. And the intention of the joint venture is to, you know, invest in real estate. The company will have a small stake in the [indiscernible] joint venture are going to find. And then if the real estate becomes hotels going forward, then Hua Zhu are going to have a management contract.
Lin He – Morgan Stanley: Okay. Got it. Thanks, Qi Ji, thanks Jenny and Xie.
Jenny Zhang: Thank you, Lin.
Operator: Our next question today comes from the line of Justin Kwok of Goldman Sachs. Please ask your question.
Justin Kwok – Goldman Sachs: Good morning. Thanks for taking my question. Maybe I think focus on two questions. The first one is actually a follow-up on the recent trend that you are seeing in terms of the demand. At present, what is your sense on the mix of leisure versus the business travel in your room nights sold? And also, when you look at your first quarter kind of revenue guidance, what kind of same-hotel RevPAR assumption that you are looking? That is my first question.
Jenny Zhang: We have continued to see leisure traveling growing very robustly. And we have also seen some pick-up in the business travel. So far for the first two months of Q1, we have seen below 1% kind of same-hotel RevPAR growth, which for a low season we think is quite encouraging. So that's the assumption we have built in to our Q1 revenue guidance.
Justin Kwok – Goldman Sachs: Okay, thank you. And the second question is focusing on the midscale products. I think this is the first time you have more disclosure on the RevPAR related to the midscale products that you have. And when I look at the -- at the end of your disclosure, you show that the midscale hotels average RevPAR is about RMB284, which is something like 60% higher than your economy hotels product. So is this 60% premium something that you are expecting or do you expect some further improvement on that? And as you are going to open a lot more midscale product going forward, can you remind us on the CapEx on this product and the returns profile that you're looking at? Thank you.
Jenny Zhang: Currently the midscale hotels, you know, in operation more than six months still has a major potion in tier 1 cities. And as we expand the hotel network, I don't expect the 60% premium over our economy hotel will always be maintained. But we are quite comfortable that the RevPAR premium will be above the 30%, 40% level.
Justin Kwok – Goldman Sachs: And the CapEx returns profile?
Jenny Zhang: Currently we are seeing about 15% to 20% kind of return.
Justin Kwok – Goldman Sachs: Okay. I see. Okay, I see. Thank you. I think that's all my -- thank you.
Jenny Zhang: Thank you.
Operator: Our next question today comes from the line of Billy Ng of Bank of America-Merrill Lynch. Please ask your question.
Billy Ng – Bank of America-Merrill Lynch: Hi, good morning. Thanks for taking my questions. I have two questions. Actually the first one is regarding to the 2014 guidance. I think it's a very solid guidance on the top line, but can you give us a little bit more color on the margin, how do you see the margin? Because like in 2013 we have quite significant margin improvement. Will that continue in 2014? And if that's the case, where is the upside coming from?
Jenny Zhang: We feel, you know, 2014 is going to be an investment year for us. On one side we have put in a lot of resources into our midscale business, especially JI Hotel. Investment is two-fold. We not only are going to invest in the new leased hotels into this brand, we are also going to invest into the marketing, and also human resources to build a major platform for the future growth. And those investments are going to be reflected in our hotel operating costs, especially during their revenue update, and will also be reflecting pre-opening and SG&A. And we also are going to speed up the growth in a few smaller brands. And that will also involve some marketing and human resources investments despite that we are not going to invest too heavily on the CapEx side. So with those elements, we don’t expect the margin in 2014 are going to be higher than 2013. More likely, depending on how high a revenue we have achieved and how strong the same-hotel RevPAR growth could be, we actually expect to be very stable or even slightly lower EBITDA margin. The background of this guidance is that we had a very significant margin expansion in 2013 which were actually higher than myself had expected at the beginning. So even we don’t expect further margin expansion in 2014 given those heavy investments into our future growth, the company still has a very strong footprint in the margin management.
Billy Ng – Bank of America-Merrill Lynch: Thanks. And then the second question I had is just in general, like do you see -- I know you have a lot of brand-new brands right now that you have to focus to grow, but on the other hand, do you see opportunities of M&A at this moment or in 2014?
Jenny Zhang: As we mentioned in earlier calls, we have been actively looking around for various M&A opportunities. In 2013 we completed a deal to buy a few hotels in the Jiujiang province which were a small chain. We continue to look for those type of opportunities if the valuation and asset quality are satisfactory. As for now, you know, come into conclusion to any new big deals, but we will continue to be open-minded to those opportunities.
Billy Ng – Bank of America-Merrill Lynch: Thanks. And sorry, just one last question. Just looking at the trend right now and looking like when we see RevPAR basically about flat to 1% increase, but when we see the breakdown, the trend has been -- occupancy has been dropping but room rates been -- ADR been increasing. Is that a fair thing to say, like will -- the trend will continue to be like that? Which means like occupancy probably will continue to be a bit lower but ADR you see room for improvement?
Jenny Zhang: Just to put some context into the numbers trend, even with the 3% occupancy drop, our hotels in operation more than 18 months had achieved a full year 96% occupancy rate, which is still very high and above the 95% that we had expected for our mature hotels. So, going forward, we believe we are still trying to optimize the RevPAR, which is our main objective. And depending on the market situation, you know, that they go for higher ADR growth and some decreasing occupancy, but could also be the opposite. So I cannot really predict that trend at this moment.
Billy Ng – Bank of America-Merrill Lynch: Thanks. Thanks a lot. Congratulations again.
Jenny Zhang: Thank you, Bill.
Operator: Our next question today comes from the line of Shang Fung [ph] of One North Capital. Please ask your question.
[Shang Fung] – One North Capital: Hi. Thanks for the call. I've got a few questions. The first question relates to the guidance. May you could just give me a kind of a split of your hotel -- new hotel openings by the tiers of cities, the tier 1, tier 2, tier 3. And maybe you could also comment on the impact of cannibalization on occupancy.
Jenny Zhang: In terms of the new hotel openings, in the pipeline, you know, around 35% of our pipeline is in tier 1, about 36% in tier 2 and about 29% in tier 3.
[Shang Fung] – One North Capital: Sorry, can you run that by me again a bit slower? The line is not too clear for me here.
Jenny Zhang: Sure. If we blend the leased and the franchised hotel pipeline, you are going to see around 35% of the pipeline in tier 1 cities, 36% in tier 2 cities, and about 29% in tier 3 cities.
[Shang Fung] – One North Capital: All right. Okay. Got it.
Jenny Zhang: And as for the CapEx, most of our leased hotels are going to be tier 1 and tier 2 cities.
[Shang Fung] – One North Capital: Okay. And can you talk about the impact or cannibalization? Because we are seeing your mature hotels having a decline in occupancies. And is this a continuing trend? And is that a case for you to raise ADRs a little bit higher so that RevPARs can continue to grow? What is the key challenge raising ADRs here?
Jenny Zhang: Currently the branded economy hotels still account for a small fraction of the total market. So I don’t think cannibalization is any near-term issue. We have seen some decrease in occupancy on the mature hotel last year, but I think the background of that is one of our, you mentioned, efforts, as I mentioned earlier, even with the decrease, that those hotels do achieve 96% year-round occupancy. And secondly, was mainly due to the economy getting soft. So I don’t think cannibalization, as I mentioned earlier, is a major issue.
[Shang Fung] – One North Capital: Okay, can you help me also understand why can't you lift the ADRs a little bit higher much faster given that the rate of increase seems to be lagging inflation quite materially?
Jenny Zhang: I'm not sure I get your question.
[Shang Fung] – One North Capital: I want to understand what is hampering the ability to raise the ADRs a little bit faster than the rates that we can see given that it's much, much lower than -- the rate of increase is much lower than the inflation in general.
Jenny Zhang: The pricing increase for same-hotel last year was 3%. And I think that's more than a little bit lower than the government reported CPI index. And in terms of how to offset the cost pressure from the inflation, as we mentioned earlier, that's mainly driven by the RevPAR. We need to get to a 2% same-hotel RevPAR growth for -- achieve the same kind of profit and 3% to maintain the margin.
[Shang Fung] – One North Capital: Right. Okay. Can you help me also understand the percentage of your room bookings via online channel in 2013 versus 2012?
Jenny Zhang: Your line was not very clear. As we mentioned earlier, we -- currently the digital booking is our main channel of receiving the customer booking.
[Shang Fung] – One North Capital: Right. What is the percentage of room bookings via online in 2013?
Jenny Zhang: Including internet and the mobile applications, around 40% in the last quarter.
[Shang Fung] – One North Capital: Okay. All right. Just last question, just want to understand in terms of capital management how you think about it going forward. I know we mentioned that this year will be an investment year, but we would expect free cash flow to start building up from next year onwards. And what do you intend to do to cash? Is there room for some dividends or share buybacks in the horizon?
Jenny Zhang: I didn’t get the last part of the question. I suppose you're asking about what we are going to do if we have free cash flow. Is that right?
[Shang Fung] – One North Capital: Yes. When you have free cash flow and what would you do with the cash that would build up from then on.
Jenny Zhang: First of all, we believe there are still a lot of opportunities in the market for expansion. You have seen the company has been exploring opportunities going into different segments. And so that's one. And secondly, we also find related businesses that we are kind of exploring to see if we can use our profit model to fill those up. And so in the near term, we feel it's our responsibility to find profitable return opportunities to invest those cash. But in the longer run, as we have a lot of excessive cash, then we will start to consider dividends.
[Shang Fung] – One North Capital: Okay, all right. Thank you very much.
Jenny Zhang: Thank you.
Operator: Our next question today comes from the line of Yaoxin Huang of CICC. Please ask your question.
Yaoxin Huang – CICC: Thanks for taking my question and congratulations on the strong results. I have two questions that goes to Mr. Ji. [Chinese language spoken]
Qi Ji: [Chinese language spoken]
Yaoxin Huang – CICC: [Chinese language spoken]
Qi Ji: [Chinese language spoken]
Jenny Zhang: Let me translate for the rest of the audience. First of all, the question was what's the uniqueness of our CRM platform? So Mr. Ji answered that, you know, we use a [indiscernible] analysis technique in our CRM platform through a partnership with the Xinhua University. And to our knowledge we are the first adopter of this technology. We have heard some of our competitors are also exploring how to utilize this. And the second question was relating to rentals. Mr. Yaoxin mentioned that he has observed some slowdown of the rental increase and asked Mr. Ji if that's what he has observed too. Mr. Ji answered that his experience and also his expectation with the rental will have some steady growth in the long run. In the near term, we have seen some rental decrease in shopping malls, mainly because of the retail business that is under pressure from the e-commerce. But that does not reflect the type of properties we are utilizing. And Mr. Ji believes that RevPAR growth in the long-run can offset the rental increase. So our lease model will continue to prosper in this environment. And I would like to add to the current rental as a percent or revenue. As you can see this year, the rental as a percentage of revenue actually increased from last year. And the part of the reason is that we had invested more in our retail hotels which in nature has higher rental percentage because we need better property as well as better location.
Yaoxin Huang – CICC: Okay, thank you, Jenny. Thank you, Qi Ji.
Operator: Our next question today comes from the line of Kenny Liu [ph] of STIM [ph]. Please ask your question.
[Kenny Liu] – [STIM]: Hello. Thanks for taking my question. [Chinese language spoken]
Unidentified Company Representative: [Chinese language spoken]
[Kenny Liu] – [STIM]: [Chinese language spoken]
Unidentified Company Representative: [Chinese language spoken]
[Kenny Liu] – [STIM]: [Chinese language spoken]
Unidentified Company Representative: [Chinese language spoken]
[Kenny Liu] – [STIM]: [Chinese language spoken]
Unidentified Company Representative: [Chinese language spoken]
[Kenny Liu] – [STIM]: [Chinese language spoken]
Jenny Zhang: Let me translate the conversation. The first question was relating to the [zero second check out] and also the newly rolled out 30-second check-in and how has that improved the hotel operation? So Mr. Xie answered that we have been using the zero second checkout for a long time so it's now fully covered in our hotel. And the newly rolled-out 30 second check-ins are already in large-scale pilot at the beginning of this year. Our expectation at the core part of that is the customers are going to utilize our digital booking platform to pre-select the rooms they prefer. So that the check-in process can be a lot faster. And our target is to achieve 8% of the check-ins are going through that fast-track process. We expect with those improvements, it will not only enhance our customer experience, it will also hugely increase the efficiency of our stock. That's going to lead to, first of all, the further decrease of [indiscernible] group ratio, and then secondly, it will make the job at the reception desk easier and the staff easier to train and to recruit. And certainly it will reduce the amount of time our staff need to spend to communicate with the customers, which is going to increase the satisfaction level of our customers. Because a lot of them are on the very busy schedule, they need the process of check-in and check-out hotels to be extremely efficient. And the second question was relating to how we measure the loyalty of our customers. Mr. Xie answered that with our loyalty plan, we look at three major aspects. First of all, we regularly measure what the average number of room nights the customer has planned with us. The second we measure was the total contribution from our members as a percentage of the total room nights that we sell. And thirdly, through the CRM system, we measure the satisfaction level of our customers and how they pay through the consumption process. And Mr. Xie further addressed that the number of room nights a member stays with us has been relatively stable in the past couple of years, in spite of our significantly increased volume of rooms, which is very encouraging. So with that, I think we need to conclude the conference call. Before closing the call, I would like to be aware of a few upcoming China Lodging investor event. We will conduct a non-deal road show in Hong Kong in the week of March 24. In addition, we will participate in Credit Suisse Asia Investment Conference on March 26-27, and Standard Chartered travel panel in Shanghai on April 4. Interested parties can contact us at ir@huazhu.com. Once again, thank you for making time from your busy schedule to join our call today. We look forward to talking to you in the next quarter earnings call. Goodbye everyone.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating, you may all now disconnect.